Operator: Good day, ladies and gentlemen. And welcome to Agilysys 2024 Fourth Quarter and Full Fiscal Year Conference Call. As a reminder, today's conference may be recorded. I would now like to turn the conference over to Jessica Hennessy, Senior Director of Corporate Strategy and Investor Relations at Agilysys. You may begin.
Jessica Hennessy: Thank you, Michelle. And good afternoon, everybody. Thank you for joining the 2024 fourth quarter and full fiscal year conference call. We will get started in just a moment with management's comments. But before doing so, let me read the Safe Harbor language. Some statements made on today's call will be predictive and are intended to be made as forward-looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995, including statements regarding our financial guidance. Although the Company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause results to differ materially. Important factors that could cause actual results to vary materially from these forward-looking statements include our ability to meet software needs of the hospitality industry, our ability to drive sales and increase market share, our ability to maintain profitability level, and the risks set forth in the Company's reports on Form 10-K and 10-Q and other reports filed with the Securities and Exchange Commission. As a friendly reminder, any references to record financial and business levels during this call refer only to the time period after Agilysys made the transformation to an entirely hospitality focused software solutions company in fiscal year 2014. With that, I'd now like to turn the call over to Mr. Ramesh Srinivasan, President and CEO of Agilysys. Ramesh, please go ahead.
Ramesh Srinivasan: Thank you, Jess. Good evening. Welcome to the fiscal 2024 fourth quarter and full year earnings call. Joining Jess and me on the call today at our Atlanta headquarters is Dave Wood, our CFO. We are pleased to report our ninth consecutive record revenue quarter and another successful fiscal year with record revenue and profitability levels. We have now started not only a new fiscal year but a new era in our organization's history. We are happy to have completed the long and odious period of reengineering and modernizing all our core products, converting each of them into a state-of-the-art cloud native software solution, while simultaneously also creating an ecosystem of cloud native software modules around the core products, making our offerings as complete and end-to-end solution set as there is in the hospitality industry today. We are now focused externally on creating high value for customers with implementations involving these modern solution sets. Customer requirements are now being fulfilled at a fast pace and many hospitality properties are benefiting from the kind of integrated modern solutions this industry has been eagerly waiting for. Let me cover sales first before moving to revenue and other details. Please note that all our sales and selling success related numbers are measured in annual contract value terms. Please also note that the Marriott point of sale POS agreement announced recently is not included in any of the sales and backlog numbers discussed here. This agreement will be reflected in sales and backlog numbers as individual properties select and sign up for our POS solution. Fiscal 2023, the year ending March 2023 was a record sales year and fiscal 2024, the year ending March 2024, was at about the same level despite a 12% decrease in product bookings. With respect to sales verticals, fiscal 2024 was a record year for the Americas Hotels and Resorts vertical, which is a crucial future growth area for us growing by 16% over fiscal 2023 levels. Sales to gaming casinos in the US remained the number one sales vertical during fiscal 2024 and APAC, Asia Pacific, sales was about 45% higher than the previous year, though still not back to record high levels yet. With respect to sales categories, fiscal 2024 was a record sales year for subscription software and services. Both subscription software and services sales levels during fiscal 2024 were about 10% higher than during fiscal 2023, which was the previous best year on record and about 30% higher than fiscal 2022 a couple of years ago. The services work we continue to perform for the Marriott Property Management System, PMS project, which is progressing according to plan, is reflected in our services revenue levels, but is not counted in services sales. Point of Sale, POS, terminal hardware sales during fiscal 2024 declined compared to fiscal 2023 due to each unit of POS software sales during recent quarters drawing in about 15% to 20% less terminal hardware sales than before. Our recent modernized versions of POS terminal software now support all major operating systems, windows, iOS and Android, thereby, giving customers more generic POS terminal hardware options, including iPads, iPad minis, other consumer grade tablets and devices, which can be bought off the shelf and sleek all in one handheld devices, which can be purchased from payment gateway vendors. Customers like such choice. POS windows terminals, which we continue to resell, are still required for most of the POS work that enterprise food outlets need to perform, but to a lesser extent than a year or two ago. This is a good trend and gives our POS products and modules a clear competitive edge enabling more subscription software sales, but is expected to put pressure on one time product revenue, a majority of which is made up of hardware revenue. We are now one of the approved POS vendors for all Marriott properties in the US and Canada. While this is a hunting license and we currently don't have an estimate of how many of these thousands of properties have a need to change out their POS solution, how many of such properties we will be able to win and over what time period. While all that is difficult to estimate at this stage, the agreement does open up another significant POS sales growth avenue for us. With respect to signed sales agreements during January to March Q4, we added 12 new customers and all 12 agreements were either partially or fully subscription based. Though the number of new customers added this quarter was lower than our recent range of 15 to 20 per quarter, the total value of new customer sales agreement signed this quarter was close to twice at highest Q4 last fiscal year when 15 new customers were added. Each POS agreement signed with new customers this quarter included an average of 2.3 products, while each PMS customer agreement included as many as 10 products and software modules. This was our best quarter ever with respect to new customer average annual contract value deal size, about 25% higher than the previous record highest quarter and about 2.5 times as high as Q4 last year. We also added 70 new properties during the quarter, which did not have any of our products before, but the parent company was already our customer. Of the 82 new properties added during the quarter across new and current customers, more than 90% were either partially or fully subscription software license based. There were also 65 instances of selling at least one additional product to properties, which already had one of our other products. These 65 instances involve sales of a total of 158 products. Full fiscal year 2024 was our best year thus far with respect to total annual contract value of sales wins involving new customers and was about 40% higher than the previous fiscal year. Fiscal 2024 was also our best year with respect to average deal size of agreements with new customers, again, about 40% higher than the previous year. Before moving on to revenue related details, a couple of quick comments on the Inspire user conference held during the last week of March at Red Rock Casino Las Vegas. It clearly was our best one yet. There were a record number of customer attendees and the overall show was of an entirely higher class than before, thanks to the excellent work done by our marketing team in taking the main stage and other presentations to world class levels. Also, of course, we had a lot more product progress to talk about. If we had to pick out a couple of highlights, one would be our decision this year to include for the first time leading hospitality industry consultants who are involved in many RFPs and other systems selection processes for customers. The second and the biggest highlight was the eight different sessions during the conference that were conducted by industry leader customers across the gaming casinos, resorts, hotels and cruise ships verticals. Four of the eight sessions involve recent success stories related to the property management system, PMS family of products. Two of the eight presentations were led by international customers. This is the highest number of customer led sessions we have had in our annual user conference thus far. Customers getting on stage to explain the extraordinary additional value their employees and guests are getting after moving to the Agilysys ecosystem of products was powerful. Now on to revenue. Fiscal 2024 fourth quarter revenue was a record $62.2 million, 17.6% higher than the comparable prior year quarter. Q4 subscription and services revenue were both records and grew by 31.6% and 43.9% respectively from the comparable prior year quarter. Q4 subscription revenue was a record 57% of total recurring revenue. In absolute number terms, Q4 subscription revenue grew by 5 million year-over-year, which is the highest level of quarterly year-over-year growth we have seen until now. Recurring revenue has now increased sequentially for 15 consecutive quarters. Full fiscal year 2024 revenue was a record $237.5 million, 19.9% higher than the previous year. This revenue included $138.1 million in recurring revenue, 16.7% higher than the previous year. Full year 2024 subscription and services revenue were both records and grew by 29.6% and 39.2% respectively from the previous year. Continued growth in services revenue is a good indicator of the extent of implementations we are currently involved in, which should drive future recurring revenue growth, especially future subscription revenue growth since an overwhelming majority of them are Cloud SaaS installations. Each of the fiscal 2024 quarters, Q1, Q2, Q3 and Q4, were record quarters at the time with respect to the combined ARR value of subscription projects implemented in the field. Fiscal 2024 Q4 was our best quarter thus far with respect to services margins at 34.5%. As our products continue to improve, become more desired in the hospitality industry, and also become easier to implement and support, we should be able to continue to do well with services revenue and margin levels. Multi-product implementations, which is more the norm now, are more consultative by nature as customers turn to us to lead and implement property wide system transformation initiatives, replacing several competitive vendors with multiple solutions from our ecosystem. With respect to international regions, fiscal 2024, Q4 was our best quarter thus far, and full fiscal year 2024 was the best year on record for international revenue, still relatively smaller numbers and international regions continue to represent big potential growth areas for us. Focusing a bit on the full fiscal 2024 $75.5 million of subscription revenue, which has grown by close to $30 million during the past couple of years. Slightly more than half of that growth has come from POS and POS related modules. Subscription revenue from PMS and PMS related modules has increased by more than 90%. During these two years -- and about one fourth of the overall subscription revenue growth has come from the PMS side of the equation. The remaining one fourth of subscription revenue growth during these two years has come from other products, including software modules pertaining to inventory and procurement for food and beverage and payments. Subscription revenue from the 20 plus state-of-the-art add-on experience enhancer software modules were 18.2% of total subscription revenue in fiscal 2024. Customers continue to appreciate the high value they get from these add-on modules, which make it exponentially easier for them to manage various complex integration points and greatly benefit from the significantly higher pace of innovation and higher ability to meet their business needs when most of the required core products and additional modules are managed by one technology provider with one unified product roadmap. Shifting the focus to fiscal 2025. We have entered this new fiscal year with a record services backlog level and a subscription revenue backlog level that is at about 85% of the level we entered fiscal 2024 with. Product implementation services efficiencies have increased, which has helped us convert much of the previously pending backlog to revenue. However, the third element of the backlog, product backlog, entering fiscal 2025 is far short of the levels we saw last year. Despite this lower starting product backlog level, increasing sales levels and several recent significant sales successes, which have not been converted into backlog yet, should ensure another good revenue growth year with an expanding shift towards subscription and services revenue. We expect fiscal 2025 revenue to grow between 16% and 18% and being the range of $275 million to $280 million, driven among other factors, by year-over-year subscription revenue growth of at least 27%. Fiscal 2024 profitability levels worked out to be higher than our original expectations at the beginning of the year. Q4 adjusted EBITDA was 17.6% and full fiscal year 2024 adjusted EBITDA was 15.6%. We expect profitability levels to remain consistent throughout fiscal 2025 as we continue to make the required investments to execute well on projects pertaining to revenue growth beyond fiscal 2025 and on making the required expansion across various business areas, including sales and marketing, services, support, information security and cloud infrastructure. We expect fiscal 2025 adjusted EBITDA levels to be at 16% of revenue. With that, let me hand the call over to Dave for further color on our financial and operational results.
Dave Wood: Thank you, Ramesh. Taking a look at our financial results, beginning with the income statement. Fourth quarter fiscal 2024 revenue was a quarterly record of $62.2 million, a 17.6% increase from total net revenue of $52.9 million in the comparable prior year period. One time revenue consisting of product and professional services was up 19.1% over the prior year quarter while recurring revenue was up 16.6% over the prior year quarter. As a result of the continued momentum in our business, we are pleased to see 19.9% total revenue growth year-over-year with all three product lines increasing over the prior fiscal year. During fiscal 2024, compared to the previous year, product revenue increased 12.5%, professional services increased by 39.2% and recurring revenue increased 16.7%. Now that subscription revenue is well over 50% of our total recurring revenue, we are pleased subscription revenue growth of 29.6% is driving continued overall recurring revenue growth. We remain extremely pleased with our professional services and subscription sales, which were both at record levels in Q4. At the end of fiscal year 2024, each customer property install had an average of 2.2 products compared to 2.0 products per customer property at the end of FY23. We remain confident as we enter the execution phase of the business with so many products remaining to be sold to existing and new customers. Professional services increase 43.9% over the prior year quarter to a record $14.7 million. Professional services backlog increased slightly back to record levels despite record professional services revenue. Most of our professional services revenue is related to current period projects contributing to the acceleration of subscription revenue. Development associated with larger projects with the corresponding subscription revenue happening in future years was less than 10% for the year, but was 11% in Q4 due to timing and number of enhancements delivered in the quarter. Total recurring revenue represented 58.8% of total net revenues for the fiscal fourth quarter and 58.1% for the full year compared to 59.3% and 59.7% of total net revenue in the fourth quarter and full year fiscal 2023. Recurring revenue, as a percentage of total revenue, remained around the same level as FY23 despite a 24.6% increase in 1 time revenue mainly due to growth in professional services revenue. Subscription revenue grew at 31.6% for the fourth quarter of fiscal 2024 and 29.6% for the full fiscal year. Subscription revenue comprised over 57% of total recurring revenue compared to 50.6% of total recurring revenue in the fourth quarter of fiscal 2023. Subscription revenue increased sequentially $1.4 million from the third quarter of fiscal 2024, which was slightly above our quarter-to-quarter growth expectations. Q4 subscription revenue growth contributed to subscription revenue for the full fiscal year being slightly above our expectations for 2024. Moving down the income statement. Gross profit was $38.3 million compared to $32.2 million in the fourth quarter of fiscal 2023. Gross profit margin was 61.5% compared to 60.8% in the fourth quarter of fiscal 2023. For the fiscal year, gross margin was 60.7% compared to 61% in the prior year period. The full year decrease in gross margin is mostly due to professional services revenue being high than inspected in fiscal year 2024 and the associated ramp of the professional services team in the first half of the fiscal year. Combined, the three main operating expense line items, product development, sales and marketing, and general and administrative expenses, when excluding stock based compensation, were 43.9% of revenue in the fiscal 2024 fourth quarter compared to 45.6% of revenue in the prior year quarter, and in line with our FY24 plan. Excluding stock based compensation for the full fiscal year 2024, product development decreased to 18.7% compared to 21.7% of revenue and the prior fiscal year. General and administrative expenses reduced from 12.7% to 11.9% of revenue, while sales and marketing increased from 11.1% of revenue to 13.3% of revenue as we continue to expand our sales and marketing capacity. Combined the three main operating expense line items, product development, sales and marketing and general and administrative expenses, excluding stock-based compensation, were 45.2% of revenue this fiscal year compared to 45.8% of revenue in FY23. Operating income for the fourth quarter of $3.5 million, net income of $3 million and gain per diluted share of $0.11, are slightly less than the prior year fourth quarter gain of $3.4 million, $3.6 million and $0.14. Adjusted net income, normalizing for certain non-cash and non-recurring charges of $9 million, compares favorably to adjusted net income of $6.9 million and the prior year fourth quarter and adjusted diluted earnings per share of $0.32 compares favorably to $0.26. For the 2024 fourth quarter, adjusted EBITDA was $11 million compared to $8.1 million in the year ago quarter. And for the full year fiscal 2024 adjusted EBITDA was $37.1 million compared to $30.3 million. We are pleased to see our profitability levels end up well ahead of our original FY24 plan with adjusted EBITDA coming in at 15.6% of revenue. Moving to the balance sheet and cash flow statements. Cash and marketable securities as of March 31, 2024 was $144.9 million compared to $112.8 million on March 31, 2023. We remain comfortable with our current levels of cash. As it relates to free cash flow, we are pleased to see an increase for the full fiscal year. Free cash flow in the quarter was $29.3 million compared to $13.1 million in the prior year quarter and $40.1 million for the full fiscal year compared to $27.2 million in the prior year. As we said in the past, adjusted EBITDA and free cash flow after normalizing the impact of CapEx continued to be good proxies for health of the business. Full fiscal year 2024 free cash flow was higher than adjusted EBITDA due to timing of some working capital adjustments. For our fiscal year 2025, we expect revenue to be in the $275 million to $280 million range. We expect product revenue to come down 5% to 10% as customers continue to purchase consumer grade hardware for the new modern solutions. Professional services remains the best leading indicator of the business and should grow north of 30%. Recurring revenue will continue to grow with similar growth rates as FY24 inclusive of subscription growth rates of at least 27%. One time and recurring revenue mix is expected to stay consistent through fiscal 2025 despite a shift from product to professional services revenue. Adjusted EBITDA will increase moderately to 16% of revenue as we continue to invest in large customer and other growth initiatives. In closing, we are pleased with our 2024 financial results and the solid business fundamentals for future revenue growth. With that, I will now turn the call back over to Ramesh.
Ramesh Srinivasan: Thank you, Dave. In summary, we are pleased with the progress our business is making, especially with respect to subscription and services revenue. The balance sheet remains clean and is getting stronger. With virtually all the product reengineering and modernization work now completed, we are at an excellent competitive position with a strong ecosystem of state-of-the-art cloud native hospitality focused software solutions. We are off to a good sales start in fiscal 2025 with the highest level of sales success measured in annual contract value terms during the first six weeks of any fiscal year so far with new opportunities recently signed opening additional path for sales growth during the rest of the year. While we have provided guidance only for fiscal 2025, we also have a fair degree of visibility for revenue growth beyond the current fiscal year related to the sales success we've already had and the continuing investments we are making towards projects, which involve implementations and subscription revenue generation in future years. The turnaround phase of Agilysys is now over and fully behind us. We are happy to get our next growth phase started. There are not too many world class technology providers serving this industry now with the kind of product breadth and depth we are bringing to the market and with our pace of innovation and steadfast focus on customer service. We have a good, clean, profitable growth runway ahead of us. With that, Michelle, let's open up the call for questions.
Operator: [Operator Instructions] Our first question is going to come from the line of Mayank Tandon with Needham & Company.
Sam Salvas: This is actually Sam on for Mayank today. Thanks for taking the questions here, and good to see another nice quarter. I have a quick question on the outlook. Could you guys talk about how we should think about the margin trajectory throughout the coming year, and maybe just give us a quick reminder on where we are in terms of the ramp down for implementation related to the Marriott deal?
Dave Wood: I think the margin outlook will look pretty similar in FY25 as it does in FY24. I mean, we expect margin -- we end of the year just under 61%, margin will probably tick up a little bit, but be in the same range for next year as we continue to provide some more professional services in FY25 before we get the benefit of the subscription revenue, which will start in subsequent years. So largely the margin -- the gross margin profile will look similar to this year.
Sam Salvas: And then in terms of EBITDA margins, would that still be like second half loaded similar to this year or would that be smoother?
Dave Wood: Yes, I think It'll be smoother than last year. But in our business there's just always more cost than in Q1 and Q2. We just have audit fees and other professional fees that hit in the first half of the year. We have just -- there's more trade shows in the summertime than in the winter time. So it's always -- it'll be less dramatic than last year, but there's always a little bit more cost in the first half of the year than second half of the year.
Operator: Our next question is going to come from the line of Matt VanVliet with BTIG.
Matt VanVliet: I guess when you look at the investments you've made, both in APAC, which you called out as having a very strong year still recovering and as well as Europe. Where are you in terms of ongoing investments there and sort of hitting full stride to where you feel like you're at the run rate that you're going to achieve ultimately?
Ramesh Srinivasan: It's not so much a matter of investments. Our sales team is fully grown there. We have everything we need in that business, which of course we will continue to grow. Like in certain other areas of our business, the main challenge is to establish ourselves as a modern provider now. We have not had that greater reputation in APAC before and also we have a couple of formidable competitors who also tend to do very low price selling as well. So it's a matter of establishing ourselves, building enough reference customers and that is growing it. We came a long way in FY24 compared to FY23. We have a couple of marque implementations there that have gone well and we have a couple more coming up. So it's a matter of establishing our reputation, establishing our trust as a modern provider, because many of our new versions are quite young and they need a little bit of time to establish themselves in the field, especially in APAC and EMEA where we have not had a great presence before. So growth in international regions is a matter of having more of those implementations, creating more reference customers, having a reputation, having the trust flow and then that business will continue to flow. The required investments, the products are all in pretty good place, Matt. We'll continue adding to the sales team as required.
Matt VanVliet: And when you look at the opportunity, whether it's in the gaming space in the US or just longer term across the US hotel and resort space. How much, I guess, near term pipeline do you have for the property management side? How much of the performance this quarter of an average of 10 modules there do you feel like is sort of a normal deal size that you can push on the go forward basis, or is there something unique about some of the deals this quarter that maybe we should think about replicating in terms of the breadth of the platform today?
Ramesh Srinivasan: So Matt, the breadth of the platform is in place now. There is no significant development investment we need to do apart from continuing our R&D efforts. So to just expand the answer a bit, Matt, there are avenues for growth, there are pathways for growth across every vertical we have, including with respect to gaming casinos where we have a pretty decent market share, the average number of products used for property, like Dave told you, is only 2.2, while -- we could multiply that by four or five, current customers -- the new customers are buying six to 10 modules from us when they buy, which is why our deal sizes expanded dramatically. So the main challenge ahead of us is these modern products are young, they're establishing themselves in the field, they're creating great value for customers. We were amazed that eight of those customers came to our user conference to describe the kind of value they've created for themselves. Other than in gaming casinos, our market share is quite low, whether it is hotels, resorts, chains, cruise ships, managed food service providers, we have low market share. So there are a lot of avenues of growth. International, there's big avenues for growth. And PMS, we are only scratching the surface now. But every PMS deal we sign now is involving a multitude -- multiple modules, because they're all ready to go and they're all one-by-one best of breed, they are the best products in the industry today. It is just a matter of establishing more marque implementations and gaining more reference customers. And also increasing deal sizes is also another avenue for growth for us. The deal sizes are increasing and that also really helps the sales numbers. So multiple avenues of growth. And I have not even mentioned inorganic opportunities to you so far. We remain opportunistic here and there, we look at those opportunities. But organic growth itself, we have multiple different avenues in which we can grow.
Matt VanVliet: And then one just quick follow-up. Are you still realizing 20% to 50% uplift on the add-on modules, or how is pricing ultimately shaken out on some of those as you get deals with six, seven, eight of those that added on?
Ramesh Srinivasan: Absolutely. The kind of uplift that we have had before, we continue to have. Only thing these add-on modules are now better established in the field, so it is becoming easier for us to sell them. But the kind of financial uplift we get is along the lines that you mentioned, 20% to 50% is correct.
Operator: And our next question is going to come from the line of Brian Schwartz with Oppenheimer and Company.
Brian Schwartz: Ramesh, I was hoping to drill down into the business performance with the record ACV in the quarter. Was that anchored at all by one or a couple just huge deals or was it broadly distributed? And then can you also comment on maybe the bookings mix, which is having a bigger impact, whether it's landing larger or the expansion activity?
Ramesh Srinivasan: So the answer to your question, it's a broader base of -- the last couple of quarters have been good for us sales wise, we've had two consecutive pretty good sales quarters and they've all been more broad-based. They've not been dependent on any one big customer, classic singles and doubles, which have been very effective. And now and then we do hit the whales as well. I'm sorry for mixing metaphors there. But lots of singles and doubles and now and then, like you've seen, the recent announcement, big whales as well. So the sales successes continue to be broad-based and we are building towards more PMS successes. So in terms of the product categories, we are building towards more PMS successes. So when the PMS successes happen, they tend to be big. Customers tend to buy a lot of modules, very high deal size. The same is true for POS as well, but in PMS it is a lot more. So the answer to your question, the sales successes are broad based and each deal tends to be much bigger than what it used to be a year or two ago.
Brian Schwartz: And then the other comment you made about having record ACV, you gave us a little look into how the business is performing in the new fiscal year. And I was wondering if that record ACV in the first six weeks, was that also at a higher level than what the business generated in the last -- in the second half of fiscal 4Q?
Ramesh Srinivasan: So what I meant to say was, at the start of the fiscal year, we have never had a better start than we are having now. And if you compare it quarter-by-quarter, it is among the best starts we've ever had for quarters. But typically, fiscal years don't start this well for us, because the sales team tends to maximize sales towards the end of a fiscal year like all sales teams do, and the new fiscal year tends to be off to a slow start all the time. That is not the case this time. The first six weeks that this fiscal year has started is among the -- is the best starts that we have ever had and it compares very favorably to any quarter start we ever had for the first six weeks. And also, to your previous question, it's broad based. It is not based on any one particular big win, it is quite broad based. And the Marriott POS agreement that we just announced now is not counted in that, because there we have to sell to individual properties before they get counted in sales.
Brian Schwartz: The last question I had was in regards to service margins. We've seen two quarters in a row now where the service margin has been in the low to mid 30s, and that's quite a bit higher than kind of the high 20% margin expectation at least that I had in my model. So my question’s on the sustainability of that. Do you think that that's a right level that we should be thinking about for the business as we model it moving forward?
Dave Wood: Brian, I think high 20s is still the way to think about the business. I mean, certainly, if we're at a steady state, like you've seen the last six months, we could get into the 30% margin. But as the business continues to grow and we have periods of reinvesting in our professional services team, you'll see us go back down into the mid to high 20s. So we still think of it as a high 20s type margin profile, but we're certainly happy with the last six months on a steady state.
Ramesh Srinivasan: And also one other comment on that, Brian, services margins always in businesses like us tends to improve as the products improve. As the products become easier to implement, as we do more multi-product implementations, which are more consultative by nature, as the product quality continues to improve, the need for non-billable work continues to decrease and margins tend to do better. So high 20s is a good expectation for now and it should continue improving from there.
Operator: And our next question is going to come from the line of George Sutton with Craig-Hallum.
George Sutton: Congratulations on the Marriott point of sale hunting license. I just wanted to have you walk through, Ramesh, if you would. When you have the PMS side of the equation and now you're given -- and that is more of a mandate, you've got a point of sale hunting license. What is the benefit -- and certainly, you operate within an ecosystem, what is the benefit of adding you as a point of sale vendor versus a third party?
Ramesh Srinivasan: You should think of it, George, as two independent things. We are very happy that we are now an approved vendor, approved brand standard for both Hilton and Marriott, right? There's a lot of pride in that and we are very happy about that. But I would, at this stage, George, think of them as two independent things. The PMS is a mandate for a certain number of properties, not for all the properties, but a certain number of properties. And the POS agreement is a hunting license for all the US, Canada properties where food and beverage is relevant, which is thousands of properties. So they are two independent things. So I wouldn't think of it as a property is going to buy one because it has the other, each bring independent value. But what we are building towards in the long term, George, that not just Marriott but a lot of customers are thinking about, is the benefit that the overall ecosystem brings. When you have an ecosystem of products from one vendor, it has its own benefits. And our R&D in full force now is creating and maximizing those benefits, that is in the future. For now, I would think of them as two entirely independent agreements, Charles.
George Sutton: And then one other question, we were doing demos of your then new product a couple years back, it was yet to really go GA. You had said that the real impact will come when we have reference customers for these newer products. So it's encouraging to hear that at the Inspire event you had customers that effectively would be reference customers. Can you just update us on how far you are with the reference customer side on these newer products?
Ramesh Srinivasan: Making great progress, George, but we still have a long way to go, would be the way I would summarize that. For each of the core -- all the products are now state-of-the-art, they're all based on modern technology, they're all cloud native and can also work on premise and all that good stuff. So all the products are established now and there are tens and in some cases hundreds of properties already live. And so the number of reference customers is getting better by the week, by the month. But we still have a long way to go. You need a wide range of reference customers who use it in various different ways in order to push further sales ahead. So from the time you saw the demos, George, we have come a very long way with each and every one of these products, the number of reference customers are increasing by the week, by the month. And we are very keen on adding to a lot more of them, because we are competing, George, against products that don't compare in terms of technology or feature sets with us, but have been running for many years now, five, 10, 15 years. So when you're competing with those kinds of products, you can never have enough reference customers and that process is making very good progress for us.
Operator: [Operator Instructions] Our next question comes from the line of Nehal Chokshi with Northland Capital Markets.
Nehal Chokshi: Congrats on the strong set of results here. Dave, on your color on the fiscal year ‘25 guide, why are you guiding professional services to grow faster than subscription revenue?
Dave Wood: Well, we're still in a period of where we're doing development for large customers with subscription in subsequent fiscal years. So you still see a bit of an outsized growth in services than subscription. And obviously, we expect that to flip back the other way starting in our fiscal year ‘26.
Nehal Chokshi: So that implies that you'll still be pulling from backlog as you exit fiscal year ‘25?
Dave Wood: No, I mean, sales in Q4 were at record level, so backlog actually increased going into the fiscal year. And most of it is just momentum of our current sales and our current pipeline. I mean certainly we have good visibility into the annual number with our backlog, but sales momentum is the main reason for the growth.
Nehal Chokshi: And then what sort of a subscription revenue growth rate do you expect to deliver exiting fiscal year ‘25 given guidance of at least 27%? Essentially what I'm asking is that are you expecting a linear step down in subscription revenue growth rate as we go through the quarters?
Dave Wood: No, I mean we look at subscription revenue the same as we have in the past. I mean, the 27% for the year and certainly -- I mean we look at the business needs to do about 1.1 million to 1.4 million in sequential quarter-over-quarter go live. And certainly, some quarters should -- could be higher than others, but we feel like we'll be north of 27% for the year.
Nehal Chokshi: And then Ramesh, it's been about two years since you did the ResortSuite acquisition, and given that there's evidence that multiples of acquisition targets are starting to come down into technology space at least. Can you give us an indication of what type of RLIC did you see with the ResortSuite acquisition? Just sort of give us a sense as far as like has there been good success with the one acquisition that you've made during your tenure?
Ramesh Srinivasan: Yes, Nehal, excellent success. We are very happy we did the ResortSuite acquisition. And apart from all the numbers, Nehal, just the great people that we got from that acquisition. Frank Pitsikalis, who's in our management team now and who handles all the PMS side of product strategy and they're part of the corporate strategy team as well, Frank is and all the great people that he brought in. So that's the biggest gain from the ResortSuite acquisition. And it has turned out to be an excellent acquisition for us is because, number one, we have retained and grown the recurring revenue quite well despite the fact that we are not selling the ResortSuite products anymore in favor of Versa, spa, golf and all the other products that we have developed over the years that are cloud native. And many of their marque customers are -- have switched over or in the process of switching over to Versa and sales and catering and all the other products that we have. So we've gained a lot of great customers, we've gained a lot of great people. We have retained the recurring revenue and grown it a little bit as well. So all-in-all, it has worked out to be a great acquisition for us. And given a chance, given such an opportunity, we will do it all over again, no question about it. Now as far as where that is leading us into other acquisitions, we are still being careful with it, Nehal. Our organic growth is looking so good for us. It has done so well. And we are focused on many large opportunities that have already been signed that we will be converting to subscription revenue. So there is no use -- no need for us to use inorganic growth as a crutch. Organic growth is doing well. But we are opportunistically looking at opportunities that are coming our way Nehal. We are being very careful with it. We are evaluating it correctly. And if another ResortSuite comes along, we will not hesitate in picking it up.
Operator: Thank you. And I would like to hand the conference back over to Ramesh for any further closing remarks.
Ramesh Srinivasan: Thank you. Thank you, Michelle. Thank you for participating and for your interest and support. We look forward to talking to you again in a couple of months from now towards the end of July when we will be reporting on Q1 fiscal 2025 results. Good evening, and thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.